Operator: [Starts Abruptly] interim results webinar. All attendees are in listen-only mode. And at the end of the presentation, there will be the opportunity to ask questions. There's a PDF of the slides on the right hand side and this webinar is being recorded.  I now hand it over to Jon Hauck and Sonia Sedler, Joint Interim CEOs. Jon, over to you.
Jon Hauck: Thank you, Tamsin. And morning, everyone. It's great that so many people have taken the time to join us for our interim results webinar this morning. We're obviously sorry that we can't do this in person again, but we are hoping to hold a face-to-face meeting of our final results in March next year, so that we can all finally catch up in person again.  So anyway, without further ado, let's kick off. And if you could just skip to the chart three. Thank you. So, moving to today's agenda. I'll start by providing a summary of the highlights of our performance in the first half before walking you through the financial performance in a bit more detail. I'll then hand over to Sonia, who will provide an overview of our strategic progress and outlook for our service lines. I'll then finish up with a summary of the outlook for the group as a whole and then there will be some time at the end for questions.  So, if you can move to the next chart, please So we're really, really pleased to be sharing another robust set of results with you that saw strong revenue growth supported by significant organic growth. This performance reflected good demand for our services, powered by a return to content creation, following the disruptions seen across our industry in 2020 and complemented by the growth from our most recent high quality acquisitions.  The last six months have not been without some continued challenges, but Keywords continues to operate flexibly across the group. And the strong performance is a testament to the 9,000 talented Keywordians across the globe who've worked tirelessly throughout this period to support our clients. We've all had to adapt to new ways of working to deliver this performance. And both Sonia and I would like to thank everyone at Keywords for their continued hard work.  The revenue growth has translated into strong growth in profitability and margins. And it's really pleasing that, in turn, this has translated into good cash generation during the period, further strengthening our balance sheet and our liquidity.  I'm pleased with the momentum in our M&A program, and I'm pleased that it's continued into 2021. During the half, we continued to deliver on our acquisition strategy with the completion of four high quality acquisitions for a total maximum consideration of €105 million. Our M&A program has always been an integral part of the group strategy as a means of adding breadth and depth to the group services, entering new geographies and bringing new talent to Keywords, and we continue to review a strong pipeline of potential targets.  We've also continued to make good progress with our responsible business agenda over the last six months, and I'll come on to this in a bit more detail shortly.  Finally, the search for replacement for Andrew as CEO is well advanced and has attracted some high caliber candidates. The process is nearing finalization, and we expect to make a further announcement in the coming weeks.  And looking forward, the second half has started well, and we expect the strong demand to continue, which will allow us to further cement our position as the go-to provider of technical and creative services to our global client base.  So, let's now turn to the financial highlights. Next slide please. And despite some lingering COVID-19 constraints in the period, we saw a 37.6% increase in revenues to €238.7 million in the first half of the year. On an organic basis, revenues increased 22.9%, reflective of a period where all of our service lines performed well against the comparative period when a number were held back, particularly at the early stages of the COVID-19 pandemic last year.  This translated strongly into profits with adjusted EBITDA up 64.6% to €50.7 million in the period, reflecting a 3.4 percentage point increase in our EBITDA margin. I'll provide a little bit more detail on what's behind that performance and how we converted the profit into cash in a few more slides.  Following this period of continued growth and increased profitability and the cash generation, the board has declared an interim dividend of £0.007 per share, which is also reflective of our continued confidence in the business.  So if I can now move on to M&A, which as many of you know is a key tenet of our business and an area where we've continued to make significant progress during the half. As I said earlier, we've completed four high quality acquisitions this year.  In January, we expanded our game development service line by adding to our presence in the US through the acquisition of Heavy Iron Studios on the West Coast, an important step in extending our presence in this key market. We also made our first entry into Australia by the acquisition of Tantalus in March. This provides us with a platform for expansion in the Pacific region, another growing and exciting market for our industry. We also added strong capabilities in full encode game development through the acquisition of climax studios in the UK in April.  And finally, we entered an attractive new market for talent with a new presence in Romania through the acquisition of AMC in August. Sonia will provide a little bit more detail later on. But as I said earlier, we continue to see a strong pipeline for further M&A. And whilst our primary focus remains on game development in the marketing service lines, we will look to selectively acquire in other service lines or new geographies when the right opportunities arise.  Next slide please. Since launching our responsible business agenda last year, we've continued to make good progress on our six priority areas. Just to touch on a few of the areas that we've progressed.  We entered into a new partnership with Women in Games, a not-for-profit organization that seeks a game industry, culture and community free from gender discrimination. Through this exciting new partnership, we'll help power their 500 strong ambassador program across 52 countries, enabling Keywords to be more active in helping to address the well-known under-representation of women in our industry.  In 2020, we quantified our global greenhouse gas emissions for the first time, focusing on Scope 1 and 2 emissions. Following this, we've developed the group's first environmental policy, covering energy and recycling practices. The policy will help further develop our sustainable studios program and support our studios in their efforts to minimize energy usage and to reduce, recycle and reuse wherever possible.  Finally, during the first half, we rolled out a number of initiatives to help support colleagues. This includes vaccine clinics in certain countries such as India, and more recently, to support and rehouse colleagues impacted by the recent hurricane in New Orleans.  While we're pleased with the progress we've made during the half, there's clearly lots more to be done. And as I said, we're committed to continuing to improve across all of our priority areas, and to help drive our performance. Both our recently announced NEDs, Marion Sears and Neil Thompson, have joined the ESG board committee, bringing further experience and expertise.  Now in the next section, I'll run through the financials for the year in a little bit more detail. If you go on to the next chart, please. As I mentioned earlier, total revenue for the group grew by 37.6% to €238.7 million in the first half of the year. Organic revenue, which excludes the impact of acquisitions and currency movements, grew by 22.9% in the period. And as I'm sure everyone knows, revenue growth in the first half of 2020 was held back by the studio closures at the early stages of the pandemic, particularly in our audio and testing businesses.  But we've also seen very strong demand in the first half, particularly in game development and art as the industry focuses back on content creation, following some of the delays and disruption in 2020.  Adjusted EBITDA, which excludes depreciation amortization, share option expenses and M&A costs, increased by 64.6% to €50.7 million, reflecting operational leverage from revenue growth, but also the short-term benefit of a reduction in certain costs such as travel, marketing due to COVID-19. This resulted in an adjusted EBITDA margin of 21.2%, representing an increase of 3.4 percentage points on the prior year.  Adjusted profit before tax increased by 82.9% to €39.7 million euros, with the margin increasing by 4.1 percentage points to 16.6%. This is above the group's historical margin delivery of between 14% to 15%, and partly reflects the short-term benefits from the cost savings I mentioned earlier that are not expected to be sustainable.  Profit before tax on a statutory basis increased by 97.3%. The business generated an adjusted free cash flow before tax of €37.7 million, marking a good improvement over last year. And I'll provide a bit more detail on the key pieces of the cash performance in a few more slides.  So, turning now to the service line performance on chart 10. Art Services grew 25.4% organically, following a continuation in the strong underlying client demand that we saw in H2 of last year across all of our art studios. We've continued to expand this service line with the addition of new studios in China and India. And while our artists in China have fully returned to studios, our Indian artists continue to work from home, delivering excellent growth despite these constraints.  We're now reporting Marketing Services as a standalone service line for the first time in these results, and with it delivering a very impressive 50.6% organic revenue growth, following the disruption in the first half of last year and as clients switch their focus to online and digital marketing in the absence of physical industry events.  Game Development, our largest service line, delivered a strong revenue performance with organic revenue growing by 15.5%, with a renewed focus on content creation driving strong demand for our services despite the curtailment of some of our usual trade show centric business development activities. However, our ability to meet this demand is being constrained by a challenging recruitment climate, where skilled resources are in high demand and the COVID-19 restrictions add some additional challenges around trading and onboarding activities.  Organic revenue growth in our Audio Service line was up 36.4%. This service line has recovered strongly following the COVID-19 impacts throughout 2020, but particularly in the first half when a number of our recording studios were closed due to the lockdowns and as it took time to put in place our remote recording solution. Our music and sound services have continued to grow, as did our work in subtitling and dubbing the film and TV content where we serve clients such as Netflix, albeit this growth has been constrained by ongoing delays to filming of new content.  Functional testing delivered 24.3% organic growth and the strong performance we just delivered against softer comparators, given the service line was considerably constrained at the beginning of the lockdowns in the first half of 2020, where we needed to work for agreements with our clients to reflect the new security protocols for new remote work rather than our norm of conducting these services in our secure testing studios.  Organic revenue in our localization service line recovered in 2021, up 10.7%. This improvement reflects the reflow of certain projects that were delayed in 2020 when production schedules were disrupted at some of our clients. Localization testing delivered another better performance in the first half of 2021, with organic revenue growth of 19.6%. This service line, in addition to facing similar constraints as functional testing in H1 2020, has also been impacted by lack of native language resources due to people returning to be with their families in 2020 in their home countries and subsequent travel restrictions.  Finally, player support continued to grow in the first half, delivering 17.7% organic revenue growth as it benefited more directly from the increase in game players that the industry is seeing and while it successfully transitioned into 2020 to remote working that enabled us to provide continuous support to our clients.  Now, turning to cash flow on the next slide, please. In overall terms, free cash flow increased by €12.2 million euros year-on-year. This was driven by the €19.9 million increasingly in EBITDA and an €8.3 million improvement in working capital, with trade receivable days improving by 5 days to 41.  We did see a €4.5 million euro increase in CapEx, reflecting some catch up from 2020 and a return to more normal levels of spending following the COVID-19 disruption in the prior year.  In 2020, the group benefited from timing differences on tax, and as a result carried a larger-than-usual tax credit at the end of the year. As a result, cash tax in the first half of this year increased by €7.8 million on the same period last year. This all resulted in improvement in the adjusted cash conversion rate to 95% from 50% in the prior period.  Next slide please. Spend on acquisitions amounted to €46.2 million in H1 and we subsequently had a further cash spend of €2 million in the second half following the acquisition of AMC in August. This resulted in a net cash decrease of €18.8 million in H1 versus the net cash increase of €118.9 million in the prior year. And as everyone will no doubt recall, our successful equity placing in May of 2020 resulted in net proceeds of just under €110 million, which was used to pay down drawings on our RCF and was the principal driver for the large cash increase in the prior year.  So, on my last slide, before I hand over to Sonia, I have a few comments on the strength of the balance sheet and some full-year guidance for 2021. We exited the half with a very strong balance sheet, with liquidity of just over €180 million through a combination of the net cash of €84 million and a further €100 million of committed headroom under our RCF, which is currently undrawn. This together with the cash generative nature of the business puts us in a strong position to continue to invest in the business and execute our acquisition strategy.  And now a few elements of guidance for the remainder of the year. As we said, we've seen a strong first half performance and expect demand to continue across most of our service lines, albeit with organic growth rates moderating against the stronger comparators in the second half of the year.  Given the first half performance, the adjusted PBT margin is now expected to exceed our historic range of 14% to 15%. But we do expect it to return back towards this range in 2022 as some costs return and we continue to invest in the growth and the capabilities of the business.  The adjusted effective tax rate is expected to be in line with the rates in the first half of around 21%. And we're anticipating CapEx to continue at a higher level to 2020 relative to revenue, reflecting some expansionary CapEx and investment in equipment to support the new console cycle. But we are expecting to maintain an overall adjusted cash conversion rate of around our 80% target.  Following the trading update at the beginning of August, all of the above items are reflected in the current market consensus for 2021.  Right, I think that's enough for me. I will now hand over to Sonia who's going to run through some slides covering our strategic progress over the last six months as well as the outlook for our service lines.
Sonia Sedler : Thank you, Jon. And good morning, everyone. I'm really pleased to be providing you with an overview of our strategy and to be able to highlight the progress we've made towards delivering this. I'm also going to give you an indication of what we see is our key growth drivers and share the positive outlook for our services.  So, let's go to slide 15, please, our strategy. So for those of you who are joining us new today, I thought I'd start with a quick overview of our strategy. Keywords has created a truly unique platform that's enabled us to become the go-to provider for technical and creative services for the global video games industry. And it's this focused strategy that's helped us to deliver the strong results that we're reporting today, as well as positioning us as the preferred strategic solutions partner operating at the very heart of our high growth industry.  Through our carefully targeted acquisition strategy, we've built a comprehensive end-to-end global services platform that can offer seamless multi-service solutions to our clients within a highly fragmented market. As the market begins to mature and our clients' outsourcing needs become larger and more complex, our global reach creates an even further competitive advantage, setting us apart from our competition.  This recipe for success continues to be an attractive and compelling proposition for future acquisitions, helping us to establish a pipeline for M&A growth, enabling our future expansion and broadening our range of services.  Our international colocation strategy ensures that we're always close to our clients and present in all major hubs for video game creation, attracting and retaining creative and technical talent to develop highly skilled teams that provide our clients with a flexible and global resource model.  We aim to be the employer of choice in this highly competitive industry. And we're working hard to create an outstanding employee value proposition. Our goal is to enable every person in our organization to achieve their full potential.  Through the broad range of roles, the vast number of locations around the globe, and the diverse client base we engage with, we're able to offer employees a unique working experience. We provide them with the opportunity to be part of producing some of the most exciting games in the world within our empowering and inclusive culture.  Our commitment is to make Keywords an exciting and fulfilling place to work for every one of our people. We're investing in our leaders, creating bespoke leadership development opportunities, and evolving our culture to support our teams to align to the new post-pandemic world.  This strategic approach to our customers, our employees and our acquisitions, as well as our reputation for quality, expertise and scale further strengthens our barriers to entry and helps us maintain our unique market position.  Let's go to the next slide, slide 16, please. So the balance across our service offerings continues to be maintained into H1. We're seeing consistent demand for the whole range of our services throughout the customer game creation lifecycle across all regions. The diversified offering provides an increasingly predictable and repeating revenue base.  An essential part of our strategy is to continue to progress up the value chain to integrate ourselves within game development pipelines from their inception. This allows us to be more responsive to customer needs by providing solutions that enable them to achieve their business objectives, rather than providing resource capability. The move to a more extensive outsourcing model sees clients expanding their range of Keywords services that they adopt as we invest further in our multi service delivery models. We can see the extension of our revenue opportunities as we go beyond game production and into marketing services during the title's lifecycle.  We've previously highlighted that this is a real growth opportunity and launched marketing services as a distinct service line and today being the first opportunity to report this as a standalone service line. As Jon mentioned earlier, we're really pleased to inform you that it's now independently representing approximately 10% of group revenue.  Next slide please. Our geographical reach continues to be one of our key differentiators. And you can see from this slide just how far this extends. I'm sure a number of you are familiar with this image. But we feel that the location of our talented teams is just so important to our ability to deliver comprehensive global solutions that it's worth reiterating this message.  The global footprint we've established ensures that we have access to outstanding people in all major video gaming hubs around the world. This extensive network of talent has been cohesively built from a combination of acquisition and organic growth.  Over the past six months, we've averaged approximately 9,000 people in the business, working in over 50 languages, in more than 70 Studios, across 23 countries and on 5 continents. Our follow-the-sun model ensures our clients have access to the services they need when and where they need them. So, proximity to our clients remains important even in this virtual world that we now live in.  Take Canada for example, where we have a substantial hub in Montreal, providing all of our service lines close to major clients such as Electronic Arts and Ubisoft. Our scale and geographical presence also means that we can help our clients access new markets. By introducing their games into geographies, we're able to add value to that IP and it becomes accessible to a wider audience of gamers.  As our footprint extends further through acquisitions such as Tantalus, as Jon touched on earlier, we've established a base in Australia from which to expand in the Pacific region, as well as new presence in Romania, which promises to be a strong market for future talent. So, you can see how our global model continues to provide an ongoing opportunity for us to deliver increased value to our customers.  Next slide, please. Here's our favorite who's who of Keywords customers in the video games industry. It may be familiar as a slide to many of you, but we continue to provide our range of services to 23 of the top 25 games companies by revenue across all formats of games, as well as all of the top 10 leading mobile publishers by revenue. We're focused on building long-term strategic relationships with our larger clients, understand their vision for the future and ensure that we're well positioned to help them achieve their future goals, looking beyond dollar value chain to recognize the full value system extending to their customers' customer, identifying how we can add value to the end user immersive experience through delivering the highest quality services.  We truly value our customers. And we believe our commitment to their success is why we're able to maintain such high levels of predictable revenue, approximately 80%, incorporating both our evergreen services and additional requests from existing clients.  However, we continue to deepen our market penetration and revenue growth through the addition of new logos to our portfolio of customers, and expanding our multi-service offerings within existing customers.  One of the key metrics that we focus on is the number of clients that are using three or more of our service lines. And we see this as a significant indicator of the success of our cross selling activities.  Every year, we see the number of services our clients are buying increase, with some of our clients buying all eight of our service lines at any time, evidence that our strategy is working. At the period-end, 129 clients were using three or more of our services, meaning that we're becoming an increasingly important outsource partner to our clients.  Another way in which we differentiate ourselves is by achieving trusted partner status in a highly fragmented market. So, just looking at the bottom right hand chart, you can see that our client concentration remains balanced, with no one client representing more than 10% of our overall revenue and the top 5 representing around 26% of our revenues. We've continued to manage concentration risk through a broad-based client base to diversify our sources of revenue.  So, let's get to the next slide, please, slide 19. So having summarized our strategic approach, I think it's really important to articulate how this positions us effectively to maximize the opportunities within the industry by identifying the key market drivers. The video games market is widely recognized for its fast growth and innovation with expected annual growth at around 9%. Sorry, let me rephrase that, compound annual growth of around 9% over the next couple of years.  In 2020, video games accelerated with the International Data Corporation, IDC, estimating that global revenues grew by 20% in 2020. Much of this growth was from existing content being monetized for new gamers and increased gameplay during the pandemic.  What we're seeing today is an industry coming out the other side of the pandemic. And there's an increased focus on content following some production constraints in 2020 as our client base turns their focus to the development of new content to keep their extend expanded player base engaged.  This has also been supported by content generation for the next generation game consoles, continued development for the streaming platforms, and ongoing content generation in line with the shift to games as a service models. We're also seeing a continuation of the trends towards outsourcing from our clients, with clients engaging with service providers in an increasingly structured way.  Identifying partners that can help co-design future models to enter or expand into new markets, our unrivaled scale depth of high quality services and broad geographical reach positions us well to deliver on these requirements.  So as the market grows and matures, the need of our customers are still evolving, but the service provision within our industry still remains highly fragmented. We see this as a real opportunity to establish long-term strategic partnerships, whilst horizon scanning for acquisitions and innovative technology solutions that can further enhance our competitive advantage.  I'll go into a little more detail about what this means for Keywords on the next slide. So next slide, please. Keywords has an outstanding track record of organic growth, from extending its comprehensive offer through targeted acquisitions to become the only global full service provider in the market. We've been able to leverage our significant scale and showcase our highly-skilled people to the market to achieve our ambitious target and attract large projects, thus increasing our share of wallet from the world's largest publishers and developers, evidencing that we're uniquely positioned to take advantage of the current market growth drivers.  We're also continuing to grow our diversified, scalable and flexible, well balanced business across service lines, geographies and clients to establish increasingly predictable and repeatable revenue.  Our global sales teams works collaboratively with our local embedded business development teams to drive strong organic growth through our expanding and engaging client model and engaging with those clients in developing multi-service value propositions that solve customers' challenges and add value to their business.  And finally, you'll see from the next chart, by bringing our cohesive approach, our support and infrastructure base as well as our substantial financial resource to the new studios joining our Keywords family, we enable them to realize their full potential and create a stronger, more diversified group.  Next slide please. The Keywords accelerated growth strategy combines consistent organic growth with growth via acquisition, as you'll see from this slide, and we have evidence the success of this approach has delivered year on year throughout our journey, consistently creating value from the 54 businesses that we've acquired since IPO. On the chart on the left, we demonstrated how we have blended these businesses together to create a platform of significant organic growth, achieving an average of 15% per year since IPO. The chart on the right highlights our approach to acquiring businesses to build scale and balance across our service lines, most recently in marketing and game development. In particular, we're pleased to have acquired a number of larger businesses.  Our strong cash generation and the revolving credit facility leave us with €184 million in cash and undrawn facilities to support our M&A strategy. And we have a strong pipeline that we're actively reviewing, with a continued focus on marketing services and game development, but all times scanning the ever-growing market for outstanding opportunities to further develop our service lines to meet customer needs.  So, we've covered the macro picture of Keywords. Now I'd like to add some color to this by providing insights and successes from the world of our service lines. We're on slide 22. So, just looking forward from the great results that we're reporting to you today for the first half of the year, I want to share our vision of H2.  We expect the key growth drivers to continue to have a positive impact on our service lines. These include strong growth in player numbers, impact of newly launched consoles, ongoing development of streaming platforms, and games as a service models. It's also encouraging to see the industry's renewed focus on new and evermore sophisticated content, albeit that we're observing a time delay in this filtering through to all of our service lines.  Understandably, this has a more pronounced effect and impact on those services operating in the latter phase of the development lifecycle and, in particular, following the disruption to production schedules caused by COVID-19. We anticipate that demand for these services, such as testing and localization, will begin to build as content flows through the entire life cycle.  So, to paint the complete picture, let's now consider the position for each of the services. In Art Services, we expect to continue to deliver strong growth in the second half, especially given that we currently have good visibility of our clients' needs and continue to be well positioned to scale to meet this buoyant demand.  Excitingly, we're already seeing the impact of the growth in demand that augmented reality and virtual reality content is having on this service line, something that we expect to build out on in H2 and periods to come.  We anticipate our newest service line, Marketing Services, will continue to build on a successful first half, with further growth anticipated for H2, albeit at a more moderate level. We feel this expectation is reasonable given the exceptional organic growth over the past period, which is 50%. This service line is in a particular fragmented sector, really, really particular as being fragmented, and our aim is to establish Keyword Studios as the preferred provider of services and consultancy to games publishers and developers when looking for global reach and deep expertise into the video game sector.  We believe a real opportunity exists for this service line due to the unique interactive nature of the products and the strength of the gaming communities that form around the games.  Game Development is our largest service line and has the largest addressable market for Keywords. Therefore, it represents a sizeable opportunity. Demand remains very strong, and we expect continued growth for Game Development in H2.  Our focus across the organization and especially within Games Development is on our people. We are focused on talent acquisition and upskilling and developing our team so we can effectively flex our global resources to meet customer demands, especially with increasing demand. As previously communicated, game development remains one of our target areas for M&A where we continue to assess companies that offer exciting technical innovations and expertise to help support the fast pace of organic growth.  Looking at Audio Demand, currently, it remains strong, albeit that we're expecting growth rates to be more moderate in H2. And the great news is our recording studios are now open. The investment we made in reliable solutions for remote recording will provide ongoing opportunities to deliver our clients' needs for the future even if further restrictions and closures should be required. The market for this service line remains highly fragmented. And it continues to represent a solid opportunity for us to grow our market share organically.  Next slide please. I'm on slide 23, just making sure we're all on the same page. Our second largest service line is Functional Testing, which operates at the later stages of game development in its lifecycle.  As I explained earlier, it is one of the service lines experiencing some delays in content flow, following the previous period of disruption. We remain a leading player in this large and growing area of the market. And it's seeing an accelerated trend towards outsourcing. So despite the near-term delays, we expect testing activity to pick up as we move through the content production lifecycle in the second half, and we're ready to scale up quickly as demand returns.  Localization also sits in a very fragmented market, characterized by most competitors, only providing single language solutions, whereas our offering includes simultaneous multi-jurisdictional localization projects for our global video games customer base. This is really unrivaled in the industry. And our clients are increasingly looking to Keywords for a more streamlined and distributed production process.  Combining the market leading expertise we've built in localization over the past 20 years with our proprietary software tools such as XLOC and artificial intelligence and machine learning technology from Kantan means we can effectively manage a greater volume of content from our clients.  As being seen in testing, we've experienced some delays in the flow of content to the late stage service line. But having strengthened our sales efforts last year, we expect to continue to look to deliver growth in H2 2021. Similarly to functional testing, in localization testing, we expect there to be a reduced seasonal activity peak due to the pandemic, but we expect to see an improvement as content reflows into the service line during the later part of H2.  Our market leadership status positions us well for further growth as we continue to develop our operations in Montreal, Dublin, Katowice, Milan, Singapore and Tokyo.  Finally, turning to player support. Our strategy to immerse ourselves even further into gaming communities with complete player experience coverage has differentiated us from larger generalist call centers. This has been largely beneficial and really we're starting to see growth rates increase. Our specialist video games DNA, extensive range of capabilities and fundamental understanding of what's important to gamers continues to position us well in terms of the quality of our service delivery compared to more generalist providers, and we expect to make further progress in H2.  Next slide, please. Slide 24. So, I've covered how the group strategy has been instrumental in enabling us to deliver consistently strong performance. And we move forward into H2 with our focus on the key pillars of people, investing in our people to ensure that we attract, retain and develop the best talent, whilst allowing them to thrive in an empowered and inclusive culture.  Our proposition, we're really focused on enhancing our value proposition, continually expanding and evolving our service offerings through acquisitions and technology to create innovative solutions, partnering, strengthening our client relationships, making sure the customer is always at the center of our thinking. Our teams focus on how we can create value and solve problems for our customers are strategic partners in the creative process.  And finally, performance. Continuing to create strong results for our shareholders, augmenting our consistently high rates of organic growth, 10% to 15% in recent years, and profit before tax growth of 40%, together with accretive acquisitions to build positive performance.  So with that, I'll hand you back to Jon. 
Jon Hauck : Look, in the interest of time, if you could move to chart – the last chart, the outlook chart. I'm not going to talk to this chart. I did want to leave some time for Q&A at the end. I guess I'll just leave you by saying that we're in a really strong position. We're in a very buoyant video games market where the structural drivers are playing to our strengths and we're very confident of further progress for the remainder of the year.  So, with that, I'll sort of draw time on the presentation. Thank you again for joining us. And I'll now hand back to the operator. And we'll be happy to take some questions.
Operator: [Operator Instructions]. And we'll go to Ken Rumph from Jefferies.
Ken Rumph: Three quick questions. Hopefully quick. Firstly, just on your comment about kind of margins going back towards the previous range next year and your comment about investment. Beyond the kind of costs that have been suppressed that have kind of come back to normal, is there a sense of kind of over earning, overtime, wage inflation? So, can you talk a little bit about kind of wages and churn and so on?  That leads to the second question kind of related on an ESG topic, which is, I've always felt that Keywords was better placed in terms of kind of the crunch issue in the industry, in that if you want more localization done, pay for more people. It's the nature of the business, kind of mitigates against it. But I know that you have passionate people in the game development businesses, who probably wouldn't work harder if they were trying to meet deadlines and so on. So, if you could comment on any internal evidence or controls that you have to ensure a kind of good workplace. Sonia talked a little bit about that already. But it's a big issue in the industry at the moment, crunch and toxic workplaces and so on. So, anything that you can sort of evidence that Keywords people are happy campers? I think that'll do for me.
Jon Hauck: Can I pick up the margin comment, Sonia? And then perhaps you can deal with the crunch question. I think on margins, we have said that given the very high demand that we're seeing for the game development services, and therefore, the guys and girls that provide those services in what is a very skilled resource, that is replacing a little bit of constraint on recruitment and the demands, I think, might lead to a little bit of wage inflation. But that's a service line that we are – it's project based and we're able to pass those – typically pass those cost base increases on. And all of our customers are experiencing the same thing. So, they will understand why. We haven't seen it yet. But it's something that we are expecting might start to see.  In terms of the margin position, there's obviously lots and lots of different moving pieces. We're not really calling out any other underlying sort of changes in the margin position. I think we're really just saying that the margin position that we're enjoying at the moment is rather artificially high because of the cost savings. And we do hope that as we go through the back end of this year and into next year that we are going to be able to start to get back in front of customers, visit trade shows, all those things that we used to do. And that will naturally mean that the margin should start to move back towards that kind of 15% position next year.  On crunch, it isn't a feature typically of our business. We know it's a feature in the industry, but I'll hand over that one to Sonia.
Sonia Sedler: Just coming back to crunch, we've spent a lot of time in investing in our culture. And by investing, I don't just mean pure financial investment. I mean teams, people, behavior. And we've kicked off a project called Project Optimist, which really focuses on our values, driving them through our passion for gaming, but also collaboration, inclusiveness and that filters all the way through to our production staff. And you'll see that that continues. And it's going to be an ongoing program where we continue to ensure that our teams feel that they're working on the most exciting games that they all understand the value that they're delivering to Keywords Studios, but also as we come out of the pandemic that we are ensuring that our people continue with their work/life balance. We're very, very aware of mental health. And that's another initiative that we're focusing more and more on in our organization.
Operator: And we'll go to Bridie Barrett from Stifel. 
Bridie Barrett: Three questions if that's okay. Firstly, I just wanted to ask about your revenue visibility in the second half. And you talked about trying to work towards greater repeatability in the deals that you're doing? How much is committed already? And how does that compare to trends? So that's the first question.  And second question is just given the recruitment challenges that you've mentioned in development, can you talk a little bit about staff utilization rates and sort of whether or not you're working at full capacity already.  And then, my final question is, it would just be good to get your thoughts on the more paternalistic approach of the Chinese government at the moment, given your exposure over there and whether or not you're seeing any impact.
Jon Hauck: Shall I have a go at the first and last one and, again, I'll hand over to Sonia to talk about the capacity side of things. But in terms of revenue visibility, as we've always said, we've got pretty good revenue visibility within our business. We have a very decent chunk of recurring repeat work that we have either on games that are in kind of games as a service continual content development or preferred supplier type arrangements. And in our project-based businesses, obviously, we've got visibility of the projects that are running.  I think that if you look at across the service lines, we've got very strong visibility of revenue in service lines, like art and game development. And as we've said, we expect those to continue to perform strongly in the second half. The area where we don't have quite as much visibility, and we are a bit reactive, is in something like testing, where we are able to scale up and down very quickly. And that's an area that as we sit here today, as we've said, is slightly softer looking into H2. But we think that's a product of the, if you like, the content ramp up that we've experienced in the first half. It hasn't quite hit that service line. And we expect that business to really start ramping up towards the back end of the second half.  In terms of the Chinese situation, we've actually made a comment of this in the RNS. We do, obviously, have a business in China and we have Chinese clients. But the vast, vast, vast majority of that work is actually work on Western content. So, we have very, very little exposure to the domestic Chinese market. And if anything, if 2018 is anything to go by, some of the Chinese publishers actually turned their attention more on the Western markets. And clearly, that's an area that we can support them with. So, as we sit here today, we don't really see the Chinese situation having a significant impact on the business.  And then, on the capacity one, I'll hand you over to Sonia. But the game development folks are very busy. But I'll pass you over to Sonia.
Sonia Sedler: Well, it's widely known in the industry that there are resource constraints on engineering and finding game developers. So, what we do is, first of all, we ensure that we focus on retaining and engaging our existing staff. How do we ensure that they feel that they're fulfilling their own ambitions. Then in addition to that, we work with our customers to set up partnerships to really look for innovative ways of attracting talent. Now to do that, we need to ensure that the people that are existing in our organization are our spokespeople for the market. And they're the ones that attract talent to our organization with regards to the titles, the exciting titles that they work on, but also making our work environment a really exciting environment where you can fulfill your career ambitions.  We're also looking at opportunities to attract more females into game development. And again, this is an industrywide issue. So, not only are we looking to attract females, but trying to ensure that the environment within which they operate, they feel fully, fully inclusive. We all know that being the only woman amongst 100 men can't necessarily be the easiest way to operate. And you're not always 100% yourself within that environment. So, what we do is we look at that environment, look at mentoring, provide training to our own teams, just so that we fully, fully focus on trying to reflect our own community to the gaming community as much as possible, which is all about diversity and inclusivity.  And then finally, we're investing in skilling up and certifying developers, so that we can mentor and monitor and certify and train our own people and attract new talent that way. I hope that answers your question.
Bridie Barrett: It does more or less. Thank you. Just sort of coming back on the utilization point, though, and perhaps slightly differently, are you at the point where you're having to say no to additional work?
Jon Hauck: Bridie, we always say no to additional work, particularly in game development. It's a feature of the business that we've always got more projects that we're talking to clients about than we have project teams. And the trick is to try and find the best project that you can sort of bring into the business that meets where you've got the availability of staff. So, that's always a feature of the game development business.  One of the benefits of Keywords is that easier to do when you have a large number of studios like we do than if you're a single studio because we have a lot more projects that we are in discussions with and more project teams to find a home for. So, that sort of jigsaw puzzle is a bit easier when you've got scale than when you're a single studio. But it's always been a feature of the game development business.
Operator: We'll go to Rahul Chopra from HSBC. 
Rahul Chopra: I've got three questions, if I may. Firstly, maybe for the new CEO, obviously, I understand you will not comment, but maybe can you give us some sense of when you're looking for candidates, what is the right fit you're looking at in terms of DNA, whether it was more from tech background or gaming background or M&A strategy? So, just some color of what kind of choices you're looking at.  Secondly, in terms of potential for marketing, maybe some sense of online versus physical and outsourcing potential in the market growth within that marketing division, please.  And my final question is in terms of the game development cycle and console shortages, what it really means for outsourcers and Keywords in the short and medium term? 
Jon Hauck: I think, obviously, we can't give a great deal more color today. But as we said in the announcement, we are getting pretty close now. We've been really, really pleased with the caliber of the candidates that we've seen. And we are hopeful that we can update the market in due course in the coming weeks.  And in terms of profile, as I say, I can't really give you too much. But clearly, we're looking for someone that's got experience of operating within global industries, we're looking for someone with excellent leadership skills, someone that's strategic in their outlook and with a technology background. But I can't really say a great deal more than that at this point in time.  And on the game dev – sorry, I'll hand over to Sonia actually to answer the marketing. While on the game dev side, we've always said that we will benefit from the new console cycle. It always ends up with an increased amount of content development for us, but it tends to be – there tends to be a bit of a lag as the industry waits to see how they land and then they sort of double down on the content. And we fully expect that to happen. But I think the hardware sort of shortfalls have probably pushed that dynamic out to the right. So, we're probably not seeing quite as much of that come through in these results as we might have expected. But we do expect it to happen. And obviously, we hope that that will be additive on top of what is already a good sort of demand profile for us.  And I'll hand over to Sonia on the marketing side. 
Sonia Sedler: Rahul, could you repeat your question on the marketing side for me, please? I just want to make sure I understood it correctly.
Rahul Chopra: I was just looking for the color in terms of what is the potential for outsourcing and in terms of the market growth within the marketing business, some color on that and what percentage is outsourced and online versus physical share of marketing for your clients.
Sonia Sedler: Marketing is a really, really interesting area because it is an area that gets involved right at the outset where you're looking at the insight of the market, so more of a consulting, marketing service. And then it falls all the way through to looking at gamer end user community, what an immersive experience looks like, all the way through to trailers. Even gets involved in engaging with the influencer community. And because of this diversified opportunity right from that consulting engagement piece all the way through to the servicing piece, we see huge potential. It is a fragmented market today. And that's why it's going to be an area of growth and focus for ourselves, particularly from an acquisitive perspective.
Operator: And we'll go to Nick Dempsey at Barclays. 
Nick Dempsey: I've got few questions left. So, you have a decent exposure to mobile gaming in the business. Through other coverage, we've been obviously following Apple's change on IDFAs and the impact of that on the willingness of mobile game developers to launch new things because the marketing ecosystem for apps is unreliable at the moment. Have you seen any impact from that in the short term where your business touches the mobile world?  And the other question was, marketing services organic, crazily strong in the first half? Should we expect when we look at first half of next year for us to see a decline in that business, given that maybe your customers will go back to E3 Games con, maybe more of the traditional marketing trajectory that they normally have rather than an entire focus on online, as you mentioned?
Jon Hauck: The IDFAs, it's not something that I've seen, and it's come up in conversation, but I'll let Sonia, if she's got any more insight on that observe.  In terms of the outlook for marketing in next year, I don't think so, Nick, although next year is still quite a long way away for us. I think the growth this year is more to do with the fact that we did see disruption in the first half of last year. There's a lot of demand out there. But we're not seeing any slowdown in that demand. Clearly, when you grow very strongly, that does put some pressure on your growth in the future, but we would still expect it to grow from that base.  Sonia, have you got any more insight on IDFAs? 
Sonia Sedler: From an IDFA perspective, obviously, we're very, very security conscious. We have not been affected. But obviously, we know that we need to ensure that, from a regulatory perspective, we are going to be on point. But have our business seen any concerns or experienced any concerns? Not yet. Will we next year? Probably. And we can discuss that as we see more movement in that area next year.  Just coming back to marketing services, we really don't see a shift towards more traditional marketing. Looking at marketing today, there are so many options with metaverse on the horizons and technology offers just so much opportunity with marketing services. And that compelling mix of digital and services just creates so much growth opportunity in the industry. So, we really do expect that future to be one of growth in the market in general. 
Operator: I think we have another question from Ken Rumph at Jefferies. 
Ken Rumph: I have a couple of questions. You mentioned I think the art guys in India, for instance, and I hope everyone's well there, have successfully been able to deliver a growing volume of work working from home. There are some divisions that had a kind of sense of decentralized work from home kind of model, like a lot of localization. Are there divisions in future like testing, for instance, where you've now got the kind of protocols to work from home where you think you're going to see more of a hybrid model and potentially that can help in terms of getting people in and having a bigger resource being able to address pools of labor that you didn't before? Second question, there are other things that video games companies do, tech data analytics, various things. Are there potentially more verticals that you would enter either organically or by acquisition? You have a kind of cut in [ph] data analytics through Yokozuna and so on, but just curious on that. Could we have more than the [indiscernible]?
Jon Hauck: Sonia, do you want to do the first one and I'll pick up the M&A and the verticals? 
Sonia Sedler: Just in terms of our people, with testing, we are increasingly considering and always we think about our customers and what our customers want. If our customers need our teams to be delivery center based and in a secure operating facility, that's what we do. But in terms of coming back to our employees, obviously, we want to offer work/life balance to our employees. So what we're doing is offering a hybrid model to our employees as long as we remain customer focused and are able to remain competitive in the marketplace and are able to deliver on our customers' needs effectively. So it's the right mix of employee satisfaction and customer requirements. And our customers are experiencing exactly the same with their own teams.  And just in terms of AI, I'll just make a quick comment here that it's noticeable that AI plays an important part in the industry. We already have machine learning with Kantan, some AI with Kantan. We can't tell you which acquisitions are in the pipeline today. But what we can say is that strengthening and moving into more of an intelligence services capability is definitely part of our future.
Jon Hauck: I think I was going to say the same thing. I don't think there are many kind of, if you like, pure verticals, Ken, but certainly data analytics is one of the areas within marketing, for example, that's very important. And so, if you look at that kind of marketing wheel of things that we can do, we've still by no means got the full kind of marketing capability. So I think almost look at marketing as a mini Keywords in many ways with its own sort of verticals.  The other area that we've talked in the past, obviously, not necessarily verticals, but adjacent markets. So we've talked about the kind of the convergence of sort of TV and film towards video games. Obviously, you've got gamification of other industries, whether that's healthcare, education. And that's an area that we're also, as you know, sort of keeping an open eye for. And indeed, building our own capability today around the M&E division within audio. So, I don't think there's any obvious verticals missing. But I think there's lots of areas where we need to sort of complement the capability that we currently have, whether that's a technology capability or within marketing, just building out that broad service platform there. 
Operator: And that's the end of questions. Jon, do you have any closing remarks? 
Jon Hauck: Yes. Just really to say thank you again for everybody for joining us today. And if we have been unable to take any questions, we're obviously around and available to take some after the call.  And I guess, before we finish, just to reiterate to anybody from Keywords that's listening to the presentation, we just want to say again, huge thank you for all the hard work over the past six months and keep it up. Rest up, it's going to be busy. 
Operator: Many thanks, Jon and Sonia and to you all for joining. This is the end of the webinar.